Nathan Coe: Good morning, and welcome to Auto Trader's Results for the Full Year Ending the 31st of March 2025. I'm joined by our COO, Catherine; and our CFO, Jamie, who'll both be presenting and joining me for Q&A later on. Overall, we're pleased with the progress that we've made through this financial year. This includes our financial results, although, as expected, they were impacted by the acceleration in speed of sale during the year. Importantly, we've made good progress on the areas that are within our control and plan on doubling down on these in the year ahead. Firstly, our market position is strong with record levels of buyers and retailers using Auto Trader. Our platform strategy is operating at scale, with more than 1 billion calls to our data services, benefiting over 90% of retailer customers through over 120 technology partners. Secondly, our event in April this year has gone well, where we monetized the first features within our Co-Driver AI product suite. We see good potential for future development in this area as we make AI available to dramatically improve the car retailing and buying experience. These first products have seen immediate and strong engagement with both retailers and consumers. Thirdly, we have continued to make progress on digital retailing, where we have materially increased customers, stock and deals generated. Given the potential of this product to strengthen our core business, we've decided to change our approach, which should result in both accelerated adoption and monetization, which Catherine will cover later on. The combination of these mean we have four rich streams of future product development, including advertising products, AT Connect and our data products, digital retailing and now Co-Driver. When combined with the car market that will grow over the long term and our strong market position, this product pipeline gives us the confidence that we can continue to grow and make meaningful improvements to the buying and retailing of cars in the U.K. I'd like to thank all my colleagues at Auto Trader, our customers, shareholders and wider stakeholders for their continuing trust and commitment to Auto Trader. Starting with some of the highlights during the year. Group revenue grew 5%, operating profit grew 8% and basic EPS grew 12%. This demonstrates the operating leverage in our business and the consistent application of our capital policy. In the core Auto Trader business, revenue growth was 7%, and operating profit, excluding the impact of digital services tax, which we incurred for the first time, was also up 7%. Retailer revenue grew in line with expectations at 7%. Forecourt numbers have also remained strong, which has altered the mix between retailer growth and average revenue per retailer, or ARPR. Retailers grew 2% for the year and ARPR increased by 5% or £133 year-on-year. The majority of ARPR growth this year came from a strong pricing and product event in April 2024, where we launched our third Auto Trader Connect module. Consumer engagement on the platform has reached record levels, and our lead over our nearest marketplace competitor remains at over 10x. Deal Builder customer numbers have grown by just over 80% to 2,000 retailers, and consumers generated almost 50,000 deals, which was triple the year before. The interaction of market dynamics and our business model has influenced our results, as I mentioned earlier. While Auto Trader revenue growth was healthy at 7%, it would have been higher if it wasn't for the significant increase in the speed with which vehicles were sold during the year. The charts on this page hopefully goes some way to explaining this. In the top left, you can see the increase in number of visits on Auto Trader, which has reached record levels. This is a proxy for vehicle demand, which has been strong for the past three years and strengthened again in this financial year. Over the same period, against that higher demand, used car prices actually fell, which you can see in the chart on the top right. This was driven by a relatively sudden drop in trade prices during late calendar year 2023 over nervousness about significant depleting activity that was happening at the time. That flowed through to retail prices for used cars, which you can see, fell from mid-FY '24 through to mid-FY '25. This explains some challenging results you may have seen from retailers during that period, despite strong consumer demand. These pricing trends, when combined with strong demand, drove the acceleration of speed of sale, which can be seen in the bottom left chart. This then flowed through to live stock on Auto Trader, which you can see in the chart on the bottom right. Average days to sell was 32 days last year versus 30 days this year, which is 6% faster. That flows through to our stock-based commercial model. So despite having 5% more cars advertised during the year, retailer stock and, therefore, the stock lever was actually down 1% for the year. As you can see on the charts, in the second half of this financial year, demand continues to be strong, and used car prices are slowly adjusting upwards. However, we have not yet seen speed of sales slow. We have, however, responded with tactical offers to maximize stock on the platform, and we continue to monitor all these metrics very closely, both for our own performance and the performance of our customers. I'll briefly cover the financial results, which Jamie will cover in more detail next. Group revenue increased by 5%, with Auto Trader revenue increasing by 7%. Group operating profit increased by 8%. Auto Trader operating profit increased by 4% after the impact of the U.K. digital services tax. In line with expectations, Autorama reduced its operating losses to £4.3 million, and noncash acquisition-related costs were £12.9 million, which was £8.2 million less than in the prior year. Group operating profit margin was 63%, and Auto Trader's operating profit margin contracted slightly to 70%, again, due to the digital services tax. Basic EPS was up 12%, and cash generated from operations was up 5%. We returned £275.7 million of cash to shareholders through £157.3 million in share buybacks and £88.4 million in dividends. Today, we're declaring a final dividend of 7.1p per share, making total dividends 10.6p per share for the year, which is up 10% on the previous year. Now on to operational results. The average number of cross-platform visits were up 5% to 81.6 million per month, and we continue to account for over 75% of all time spent across our main competitor set. The average number of retailer forecourts advertising with us was up 2% to 14,013 retailers. Average revenue per retailer as mentioned earlier was up 5% to £2,854, mainly due to our product and pricing event that we implemented on the 1st of April 2024. Live car stock was up 1% to 449,000 with that stock growth driven by private listings. And finally, the average number of full-time equivalent employees increased to 1,267 during the period. Now for our cultural KPIs, which are a subset of metrics we measure to ensure we are creating an environment that allows us to attract, engage, develop and retain the very best talent. 91% of employees are proud to work at Auto Trader, and our Glassdoor rating is 4.6 out of 5 stars. At the 31st of March, six of our nine Board members were women and two were ethnically diverse. 44% of our people are women and 19% are ethnically diverse. 43% of our leaders were women and 10% ethnically diverse. We maintain our aim to achieve net zero carbon emissions across our value chain by 2040 and halve emissions by 2030. Our carbon emissions for the year across Scopes 1, 2 and 3 reduced 6% to 93,200 tons, of which the vast majority are Scope 3. I'll now hand you over to Jamie to talk us through the financials in more detail.
Jamie Warner: Thanks, Nathan, and good morning, everyone. I'll start by focusing on the core Auto Trader financials. Starting with revenue. Total Auto Trader revenue increased 7% to £564.8 million. Trade revenue also increased by 7%, with the largest components of this being retailer revenue, which also grew by 7%. The average number of retailer forecourts on our platform increased just over 14,000, a 2% year-on-year increase, and average revenue per retailer increased by 5% to £2,854 per month, with more detail given on the following slide. Also within trade revenue, we've seen an increase in Home Trader pay-as-you-go listings and growth in other trade revenue. Consumer Services revenue increased by 7%. Within this, private revenue generated from individual sellers was consistent year-on-year. Motoring Services increased by 22%, largely through finance revenue, where we act as an introducer on private adverts and trade adverts where the retailer does not offer their own finance. Revenue from Manufacturer and Agency customers decreased 8% year-on-year. Much of this decline was driven by us foregoing a small amount of platform revenue for supporting certain manufacturers used vehicle locators in exchange for VIN-level build data, which is an important dataset and feeds into our full suite of taxonomy, valuations and vehicle metrics. Now on to ARPR, live car stock and retailers. The chart on the left shows the components that contribute to the movement in ARPR compared to the prior year. As you can see, ARPR growth was driven by the price and product levers with a small decline in stock. ARPR growth in the year has been impacted by the 2% growth in retailer forecourts. This growth came from lower-yielding independent and non-car customers. There was also the impact from the loss of one very high-yielding online retailer. This change in retailer mix has had a dilutive impact of just over 1.5%, giving underlying ARPR growth for this year of just over 6.5%. The impact of that dilution is prorated across the three ARPR levers. Taking each of the levers in turn and what drove their growth, we delivered our annual pricing event for all customers on the 1st of April 2024, which included additional products and a like-for-like price increase, which contributed £78 to ARPR growth. Product contributed £77. Most of this growth was from products included in retailer advertising packages in April 2024, which included trend evaluations and enhanced retail check. The remaining product lever growth was driven by growth in new car, where we increased the number of paying customers over the period. Turning now to stock. You'll see on the right-hand side of the chart that the number of live cars advertised on Auto Trader increased slightly year-on-year. Used car stock increased by 1%, which was driven by an increase in the number of private listings, which do not impact ARPR. The volume of slots retailers paid for in the year was slightly down, which is reflected in the stock lever. Auto Trader costs increased 13% to £174.4 million. However, half of this cost increase, or £10.2 million, relates to the digital services tax, which was recognized for the first time. Excluding the impact of the digital services tax, costs increased 7%. Within this, people costs increased by 14% due to an increase in the average number of full-time equivalent employees to 1,140, an increase in underlying salary costs and share-based payments, largely due to the introduction of our new all-employee share scheme in November 2023. Marketing spend increased to £24.6 million, while other costs, which include data services, property-related costs and other overheads, decreased by 8%. Depreciation and amortization increased by 7%. As a reminder, we fully expensed our research and development costs, hence, our low levels of CapEx and depreciation. In addition to our investment in cloud-based services, we have around 400 people in product and technology who are continuously improving our platforms and developing new products for consumers and retailers. Operating profit increased by 4% to £394 million, and operating profit margins contracted slightly due to the impact of digital services tax. Excluding this tax, operating profit increased 7%, and margins were stable. Our share of profit generated by Dealer Auction, the group's joint venture, increased 29% to £3.6 million. Having covered Auto Trader, the main part of the group, we'll briefly cover Autorama results. As a reminder, the Autorama acquisition was and remains part of the strategy to bring attractive new car offers to car buyers on Auto Trader and to make new cars a more important part of our proposition. Autorama revenue was £36.3 million, with vehicle and accessory sales contributing £26.1 million and commission and ancillary revenue of £10.2 million. Vehicle and accessories sales relates to vehicles that flow through our balance sheet, where we delivered just under 900 vehicles in the period, the cost of which were taken through cost of goods sold. People costs decreased by 32%, marketing was £2.7 million and other costs were £2.8 million. There was £1.5 million of depreciation and amortization, which was largely for developed software capitalized in prior years. Excluding the cost of goods sold, cost of £14.4 million represent a 34% year-on-year reduction. Total deliveries amounted to 6,268 units. The leasing market for brokers has been impacted by the broader new car market dynamics where supply into this channel has been limited, although this has improved slightly in recent months. The Autorama segment made an operating loss of £4.3 million. This is a significant reduction on last year through the accelerated integration into the main Auto Trader business and platform. With group revenue up 5%, reduced group central costs and the reduced Autorama loss, we saw total group operating profit increased 8% to £376.8 million and group operating profit margins increased to 63%. As we grow, the strong cash generation of our business leaves us well placed to return surplus cash to shareholders. Cash generated from operations was at £399.7 million. The statutory income statement outlines areas beyond our revenue and operating costs. Net finance costs decreased to £1.1 million, largely due to reducing our gross debt to nil. Our profit before tax was £375.7 million, 9% higher than last year. The group tax charge of £93.1 million represents an effective tax rate of 25%. For clarity, digital services tax, being a tax on revenue, is reported as an operating expense in the Auto Trader segment and is not included in this calculation. The recently announced U.K.-U.S. trade deal has not impacted DST. However, we will continue to monitor the progress of any changes to the application of this tax. Although for the avoidance of doubt, we'd recommend modeling the cost as recurring and growing in line with revenue. Basic EPS increased by 12%, which was slightly higher than the growth in net income due to fewer shares in issue following our share buyback program. Today, we're declaring a final dividend of 7.1p per share, making total dividends for the year 10.6p per share. Now to briefly review net bank debt and capital policy. During the period, the group repaid all of the £30 million drawn on its revolving credit facility and held cash and cash equivalents of £15.3 million. Cash generated from operations was largely used to pay tax or return to shareholders through a combination of dividends and share buybacks. The group's long-term capital allocation policy remains unchanged, continuing to invest in the business, enabling it to grow, while returning around 1/3 of net income to shareholders in the form of dividends. Following these activities, any surplus cash will be used to continue our share buyback program. That concludes the financials. I'll now hand over to Catherine to talk through the market dynamics and progress against our strategic priorities.
Catherine Faiers: Thank you, Jamie, and good morning, everyone. Over the past 20 years, the size of the U.K. car park has grown steadily by just over 300,000 cars per year, reaching over 36 million vehicles. The COVID-19 pandemic disrupted this trend, causing new car production to fall below levels seen during the global financial crisis of 2008 to 2009. Despite these one-off shocks, we expect the U.K. car park to continue to grow over the long term. This growth is driven by GDP growth, population growth and stable car ownership trends. The consistent change -- vehicle change cycle in the U.K., typically between three and four years, translates this growth into increasing used car transaction volumes each year. We also expect the value of both new and used cars to rise over time. In 2011, the average price of a used car advertised on Auto Trader was £9,000. Today, it is over £17,000, reflecting average growth of over 4% per year. This increase is driven by inflation, improved product functionality and the shift towards more expensive electric vehicles. Over the past decade, gross margin percentages have remained relatively consistent, which means that higher vehicle prices typically lead to higher absolute gross profits for retailers. This trend, combined with the growth in transaction volumes, has resulted in an increased gross profit pool, which has enabled us to grow revenues without significantly increasing our take rate. Moving on to Slide 17 and looking at both new car registrations and used car transactions. From a new car perspective, supply has continued to improve following the impact of the pandemic in 2020 and 2021, but the growth rate had slowed to 2% over the last 12 months. This can be seen in the chart on the left. The market remains slightly below the level seen pre-pandemic and significantly lower than the highs of 2017. The retail market or new cars sold directly to consumers has been more significantly impacted. This market has not been as low as it is today since the global financial crisis. Over the past 12 months, we've seen manufacturers attempt to stimulate private demand, with increasing levels of discounts and finance offers. This has been particularly prevalent with electric vehicles, where the zero emission vehicle mandate is in place. This requires a minimum percentage of registration to be electric with significant penalties for failing to achieve the targets. Despite these discounts, private retail sales were down year-on-year, with the registration offset coming through stronger fleet volumes. The fleet channel saw very little volume between 2020 and 2022 as manufacturers prioritized higher-margin retail volumes. As a result, these players have been replacing what has become a much older fleet. We do expect this trend to ease over the coming months as this replacement cycle is now closer to historical norms. As seen in the chart on the right, used car transactions have continued to grow, with a 4% increase in volumes over the last year. Over the past 12 months, our audience position has remained strong, and both the volume and engagement of buyers has increased. The number of cross-platform visits increased 5% year-on-year to reach a record number of 81.6 million per month. Engagement, which we measure as cross-platform minutes, also increased to 557.2 million on average per month. We also saw increasing use of our mobile app, which has seen total downloads now reach over 22 million. The chart on the right-hand side shows the total minutes spent across an expanded set of competitors, retailers and manufacturers. On average, over the year, Comscore estimated that consumers spend over 10x more minutes on Auto Trader than our nearest marketplace competitor, the combination of Gumtree, Motors, eBay and Cazoo, and 15x that of CarGurus and PistonHeads combined. Let's move on to consider progress against our strategic priorities. We've made good progress against each of our three strategic focus areas. These areas are closely interconnected. Our platform and our digital retailing capabilities build on the strength of our marketplace and deepen our relationships with both retailers and car buyers. Our marketplace continues to grow, and we have seen a record number of car buyers and retailers using Auto Trader. This means we continue to grow and build our unique data advantages to all of the observations captured. Whether it is consumer behavior and interaction, retailer actions and pricing trends, we continue to extend our lead in this area. We have executed our annual pricing and product events successfully, which included the third module of Auto Trader Connect, Trended Valuations and enhanced Retail Check. We have also significantly enhanced search, including launching a grid view layout, continuous scrolling and redesigned search filters. As part of our platform strategy, we continue to make the technology and data that we have built and scaled to support Auto Trader available to our partners. This is a key differentiator and connects our data and services into key business processes for our customers. We have seen strong and growing engagement from retailers, with over 1 billion calls on our data services in the year. We are also leveraging our data capabilities. We launched Co-Driver, a suite of AI-powered solutions to significantly improve both the retailer and consumer experience. We scaled our Deal Builder trial in the year, enabling consumers to do more of the car buying journey online. We have consistently delivered our pricing and product event in April each year. On the 1st of April 2017, we aligned all customers to this annual event, which means our customers are familiar with this cycle and expect base in-year product launches and their rents to change on this date. Each year, we deliver more value to retailers through products, data and tools made available as part of these advertising packages. For the first five years, the product focus was broadly around core advertising products. This enabled retailers to produce better quality adverts on our platform with videos, additional images, chat and text functionality and to have their own dedicated customizable store on Auto Trader. The inclusion of these products delivered a compound ARPR contribution of 2% per year. Over time, we have moved beyond launching advertising features to embedding our unique data and scalable technology services to power our customers' businesses. Developing our advertising products remains a source of future product development, but driving retailing performance through data and insights is a significant priority for our customers. The three modules of Auto Trader Connect we have launched has taken us from an advertising platform to an integral part of our customers' operations, allowing them to make higher quality, faster decisions. Usage of these services have continued to grow over the three-year period, with over 90% of retailers now actively engaged with these services. At IPO, we talked about i-Control and data products being future growth drivers. By the time we ended financial year 2022, we made £10 million in revenue from just over 3,000 retailers buying these data products. By making these products available to all of our customers as part of their Auto Trader subscription, revenue from our data products, including those modules of Auto Trader Connect, has been almost £50 million a year. We have shown that we can execute successful events in each financial year, with value to retailers delivered through additional products as well as underpinning ARPR growth for the year. Given our pipeline of product opportunities, we expect this to continue for many years. Now to talk to this year's event product. Auto Trader's data science capabilities, technology platform and unique data presents new opportunities to create AI-powered products. We are already utilizing these capabilities across a range of products and services to benefit both buyers and sellers on our platform. The next step in this journey is the launch of Co-Driver, a suite of AI-powered tools that will improve both the retailer and consumer experience. The first wave of Co-Driver includes three components. The first is Smart Image Management, which categorizes and reorders vehicle imagery based on consumer insights, in addition to identifying any missing imagery needed to improve the advert performance. The second, AI Generated Descriptions automatically writes the description for retailers, highlighting the features most important to consumers, reducing a task that took on average over 25 minutes for some retailers to virtually instant. And finally, key selling points that promote the vehicle's characteristics that buyers value the most. We expect these products to significantly improve both the consumer and retailer experience on Auto Trader and have seen high engagement levels since launch, with over 300,000 vehicle descriptions generated and over 35 million consumer interactions with Vehicle Highlights. Retailers and their physical stores will continue to play a critical role in the car buying and retailing process for many years to come. Most consumers are not comfortable buying a car entirely online. They prefer to inspect, test drive and gain support from people throughout the process. We believe this process can be improved by enabling more of the journey to be done online at a time convenient for the buyer. This benefits our customers, as significant resources are allocated to managing inquiries and processes that do not ultimately result in a sale. We are in a unique position to connect online journeys, which typically starts on Auto Trader into retailer systems and processes to both our retailer portal and our API journeys. This is a strategy we have been pursuing with our Deal Builder product. Feedback on the product continues to be positive from both retailers and car buyers, with deals converting twice as effectively as a regular Auto Trader lead. Over half of all deals are submitted outside of traditional working hours. At the end of March 2025, we had increased Deal Builder customer numbers by 82% to 2,000, which made the product available on around 84,000 vehicles, an increase of over 100% on last year. Deals generated were 3x higher at almost 50,000. Over half of the customers at year-end were either paying for the product or had been onboarded on a try-before-you-buy basis, where they were expecting to roll up to paid after an initial offer period. Given this progress and our experience with previous products at Auto Trader, we've decided to accelerate the adoption of Deal Builder. This means we'll be making much, but not all of the current Deal Builder functionality part of our core advertising proposition. We believe there are significant benefits to this approach. Firstly, we've been onboarding approximately 500 customers every six months. At this rate, it would take a number of years to make the functionality available to all of our customers and car buyers. By building it into our core offering, we'll be able to dramatically accelerate customer adoption. With significantly more vehicles having a version of Deal Builder, we will materially increase the number of deals being submitted on Auto Trader, accelerating the level of buyer engagement on site. We are confident retailers value the product. While Deal Builder will no longer be monetized separately per transaction, we will be able to accelerate both its adoption and monetization, which we have a long history of successfully doing. This plays to the strength of our subscription business. Future opportunities remain to monetize different elements of the transaction, such as finance and other ancillary products. Importantly, having this functionality on every advert on Auto Trader differentiates our proposition for both buyers and retailers. This has been no small undertaking in terms of engineering and integration work with retailer systems and processes. Having covered previous event products, it is worth providing some context on the opportunities we have to drive performance of our customers' businesses as we look ahead. ARPR growth each year has been underpinned by well-executed events on the 1st of April and in-year product growth. We expect to continue this cycle, with a range of products we believe will be valuable to retailers as the industry continues to evolve. Firstly, it has been some time since we have supported an event with advertising products. Retailers are always looking for ways to effectively promote their brands, their propositions and their vehicles. While this is a more mature part of our business, there remain areas we have not fully developed and others where we are yet to begin work. This includes involving our packages, developing our pay-per-click products, improving our messaging capability and the recently launched new car office product. Our second stream of products is those enabled through our artificial intelligence and data science capabilities. We recently launched Co-Driver, a suite of AI-powered tools to help retailers create high-quality adverts more efficiently. There is significant scope for further AI-powered products to improve the buying and selling of cars in the years ahead, all built on our unique data. The evolution of our search experience is also being driven by our work on AI-enabled tools and will create more opportunities for retailers and better meet buyer needs. Our third product development area is our data and technology products. We have launched data products over the past three events and made them available through both our retailer portal and our Auto Trader Connect platform. The data we are able to provide to retailers is unique and most of it proprietary. We have consistently improved this dataset by acquiring key resources for vehicle taxonomy, integrating build level data from manufacturers and aggregating all of the interactions on our platform. More recently, we have directly sourced the granular vehicle data required to provide our own provenance or vehicle history checks. We have significant opportunities to both strengthen our existing data products to service them more powerfully on Auto Trader and to begin to automate their usage in combination with our AI tools. Finally, we have our digital retailing products. A baseline version of our Deal Builder product will be made available to all retailers as part of our event next year. But this is just the first step. There are further opportunities within digital retailing that will build upon this foundational Deal Builder functionality made available through packages. We believe some of the biggest opportunities in the future will come from combining our Deal Builder product with the data and insight we have to better connect, engage buyers with retailers and to deliver a truly omnichannel buying experience. I'll now hand back to Nathan to summarize our outlook for 2026.
Nathan Coe: Thank you, Catherine. Moving to the outlook for 2026. Our April 2025 pricing and product event has gone well. Retail revenue growth in the second half of last year was 5%, which was constrained by the acceleration in speed of sale. This has continued into the new financial year. However, we expect retailer revenue growth for FY '26 to improve to 5% to 7% for the following reasons. First is that speed of sale does have natural constraints. And the acceleration this year was largely driven by a fall in used car prices. Used car prices in the second half of last year have steadily increased as retailers have sought more normalized margins. Secondly, our pricing and product event has delivered around 6% growth in retailer revenue. Assuming consistent retailer forecourts, the event should add £90 to £100 to the price lever within ARPR and £70 to £80 to the product lever. We've responded to market dynamics with offers to stimulate stock and to support retailer margins with our prominence products. In the second half of FY '25, the stock lever was minus £54. In April 2025, it was minus £42. We expect stock to continue to improve throughout the year, but still be marginally down for full year FY '26. However, we expect that any marginal decline in the stock lever should be offset by some growth in the product lever from additional prominence products. Due to the comparative periods, we expect growth to be stronger in the second half, which we expect will benefit the start of FY '27. We expect broadly consistent revenues in Consumer Services and Manufacturer and Agency, which account for 9% of group revenue. Autorama losses are expected to reduce in line with current market expectations. We expect to maintain the current levels of Auto Trader operating profit margins, whilst group operating profit margins will increase as a result of reduced Autorama losses. That concludes the presentation, and we'll now move to questions and answers with analysts in the room.
Q - Andrew Ross: It's Andrew Ross from Barclays. I guess I've got a couple about the -- to clarify about the April '26 pricing event, which I appreciate is some way off, but now feel it's quite important. So I guess, if we're still in the same environment with kind of accelerated stock turn, at what point do you start to get more aggressive on pricing or kind of introduce some limit on how much dealers can spin through inventory through their slots to kind of align the value you're giving with how much dealers are paying you? And I guess, as a follow-up to that, should we be thinking the product that's getting bundled in as part of the '26 event is just Deal Builder? Or are there going to be other things like Co-Driver or something else to go with it? And then I guess as part of that, just to clarify on Deal Builder, everyone is going to get it as part of this event, including the big dealers. Is that now kind of doable from a technology perspective? Have I just kind of understood that correctly in terms of how it's going to work?
Nathan Coe: So I think -- I mean, obviously, like you said, the event in April '26 is a way ahead. And when we look at those events, we do factor everything in. So the profitability and health of our retailers, things like stock turn as well and the strength of the product that we've got in that. Would we consider a higher price increase if stock turn remains fast or look at limits to the number of changes people can make? I think all those things are in the realm of consideration. What we're not thinking about, just to be really clear, is changing our business model wholesale. It's worked for many, many years. You will have good times and bad times, and it doesn't really matter which model you choose. We've looked at all the models. We know a lot of our peers around the world, and all of them have puts and takes. And certainly, the best time to change your business model is not when it's not -- not at its very best because you do miss the return to more normal times. One thing I would say that's relevant to the event that we've had this year and is something that we'll consider this year, it's been a little bit unusual this year because stock turn has been fast. Ordinarily, that will be quite good for retailers' profitability. But because of that decrease in prices, we've almost had the worst of both worlds in one sense. There has been pressure on retailer profitability because of the falling prices, and you've also had stock turn, which means you've got to work -- do a lot more work for revenue. So we'd be hoping that retailer health is better, and it is definitely better now than it was during last year, even though stock turn is kind of more or less the same. And as we think about the event, there is only so much our retailers -- so much operational change our retailers can absorb. So will it be Deal Builder plus something else -- some other large product? No, very, very unlikely. I think just to implement the changes around that we're looking to do with Deal Builder will be a big change. And I suspect that we would only waste the opportunity with another big product. And as Catherine said, we've kind of got a very long pipeline. And the last thing you want to do is kind of throw those all in because what you end up seeing is engagement ends up being more limited, the value they get is more limited and, therefore, the effectiveness of the monetization is a little more limited, too.
Catherine Faiers: On the final question and Deal Builder and what does all retailers really mean, we're in the process of defining exactly what the baseline version of Deal Builder is that we make available to everyone, but it's likely to include many of the components, but not all of the components we currently have live. And part of that will be driven by our ability to onboard and scale rapidly with retailers. The finance is a great example where we might include an estimate or finance intent an earlier part of the journey rather than the full integration because there are different layers of that product, and there are different ways we might still think about monetizing that in the future. So we will define the baseline such that all retailers is the ambition and it's a deliverable ambition within the time period.
Will Packer: It's Will Packer from BNP Paribas Exane. Three questions, please. Firstly, on the FY '26 stock ARPR guidance, could you give us a bit of color on your assumptions around the take-up of the stock offer? There's been a nice rebound in stock, reflecting dealers taking on that stock free of charge. What are you assuming is retained? And how does that compare to history of previous stock offers? Secondly, could you articulate a bit further on the medium-term Deal Builder monetization plans? So you've been very clear, April '26 pricing event Deal Builder has bundled some iteration of it. Is it -- how should we think of it? Is it kind of i-Control two, whereby it's going to be blocks, which go to everybody? Or could there be a scenario where, for example, if you take finance products, that could be still transacted on a stand-alone basis, et cetera? Just a bit more -- I realize it's early stage, but a bit more color there would be helpful. And then ex-Auto Trader trade, both H2 '25 and the guidance ahead a bit underwhelming, display ads, Autorama, could you just go into more detail as to what's changed there and how we should think about that business reaccelerating? What's the time frame for that?
Jamie Warner: Yes, sure. I'll go ahead first, and Catherine can go second and I'll come back to the third. So yes, we have the stock offer running at the moment that was switched on near the beginning of this financial year or maybe in the middle of March. It's going to convert in the beginning of June, so pretty close to that conversion event. It's slightly different to offers that we've run historically. So these are more sort of pre-COVID offers we used to often run them where we switched on pre-Christmas, and there was a conversion to half price and full price. And the historic conversion rate used to be from the offer period going on to what converted to paid is about 25% of the opportunity. And the assumption that we've made is this should convert in line with that. So that's what goes into the guidance. Obviously, we said, you can see the kind of stock lever pressure in the second half of last year. We've given you the April number of minus 42%. That's like to continue into May. We do think the full year guide will be better for that, and the boost conversion should move us better than minus 42%. I don't think we think it'll get us to breakeven or positive, but certainly some improvement. And then it's an area we don't have huge amounts of visibility on, but there's a huge amount of focus to continue to increase listings over the balance of the year, and that's why it's just a small negative expected.
Catherine Faiers: I think the i-Control comparison for Deal Builder is a helpful one. We see the baseline version of Deal Builder that we will define for this year a very much step one on a series of product steps and journeys that we plan to go in the coming years. Finance is an interesting one where there are clearly layers that you can go into and how far you take the consumer and how deep you go with the integrations with the lenders. That's an obvious one where there'll be, I think, a number of stages and waves and absolutely is an area where through both the lender opportunity and the retail opportunity where there are opportunities to monetize that differently in the future. In terms of the core product functionality, we still haven't launched the appointments module. We've still got some integration work to do with the big lenders to deliver on some of that finance opportunity. And there's still work to be done to better connect the different components of the journey and to encourage consumers back into the journey once they've started the Deal Builder opportunity. There's also -- we alluded to it in the presentation. We haven't started really bringing together some of the Deal Builder thinking with some of our data thinking in terms of how we manifest that in the products. And we know that for many of our retailer sales that we influence, they don't today see a hard lead, an e-mail or a phone call, but we know a lot about that buyer and the buyer interaction engagement that we're seeing on Auto Trader. So there's a better job we can do with serving up insights and deals for those retailers to add more value into how they're thinking about stock management, pricing and other decisions. So yes, very much step one, wave one of a series of product launches and iterations that will follow on Deal Builder.
Jamie Warner: And then just coming back on the revenue lines outside of retailer. So the biggest being Consumer Services, Manufacturer and Agency and Autorama. I think in Consumer Services and Manufacturer and Agency, there isn't huge amounts of engineering resource, huge amounts of focus. And I'll go into a bit of detail around the kind of second half performance. Consumer private ads, the price of the ad is linked to the price of the vehicle. And we've seen a bit of price softening, so a slight mix of lower-value vehicles, which hits yields. There's a little bit of volume coming off as well. And it is quite -- it is a competitive space. It's probably an area that we are looking at a bit of a competitive space from the likes of Motorway, [WBA], trying to make sure that we're not losing share there. So there may be something we do on marketing from that perspective. But I think we don't want to overpromise that private listings. They've been on a very good run. We're doing significantly more than we were probably the first seven, eight years of listed history. I think if there's reasonably stable, which is the guidance, we're relatively happy. The Manufacturer and Agency line, as we sort of said in the presentation, we kind of made a decision to give up a little bit of platform revenue where we power -- if you go to certain OEM websites, we power what we call a used vehicle locator, which consolidates franchise stock on that manufacturer website in exchange for the kind of VIN build level data, which is hugely valuable for driving, taxonomy, valuation, vehicle metrics, so that was to kind of step down. The rest of the bulk of that revenue line is still display ads. It's not ever a revenue line that we feel is particularly high quality, again, not a huge amount of focus, not a huge amount or any engineering effort going into it. So again, having it reasonably stable feels like the right guide. There is new car manufacturer advertising obviously grew -- showed a little bit of growth last financial year. I think it's fair to say we still got to find the right product for those manufacturers. We still got seven of them advertising of about 1,200 cars, but it is around like the kind of quality of the product, the value story. We're still working through that. And again, I don't think we want to overpromise that, that's suddenly going to be something significant. Autorama, I think, is an area where there is more focus. And I think we've managed to reduce the losses this year. I think the -- in line with expectations, it is getting pretty close to breakeven for this next year. We said we're not looking to reduce the cost base. So that's growth in volume, growth in commission and ancillary revenue. There is much greater integration with the Auto Trader website. And we have seen -- it does come in sort of batches at certain deals, but where there are -- or is an offer that's made available, we are moving that volume, leveraging the Auto Trader platform. So it comes through in kind of batches. Again, I don't think we want to overpromise that it's suddenly going to inflect. But there is signs that actually having these deals can influence new car sales on the platform. So that's the area where I know the vehicle -- the balance sheet is reducing consensus, but that just washes through the actual revenue growth that people should care about is going to grow next year, we feel pretty confident.
Will Packer: Just synthesizing the commentary on the April '26 pricing event, is it fair to say that all three levers are looking better placed than the last -- or in the preceding 18 months? Is that a fair comment?
Jamie Warner: You mean for implementing fiscal '27?
Will Packer: Yes.
Jamie Warner: Yes. So I think if you think about how the guide is, say, 5% to 7%, we're doing 5% in the second half, and we're saying we've entered this financial year with not a lot of change. So the first half, it would be unreasonable to think maybe the first half of this year looks a lot like the second half of last year. But to hit 5% to 7% then, your second half has got to be closer to 7%. And that's where, hopefully, we're looking to carry a better run rate into fiscal '27 with a good event and hopefully sees us growing quicker than what we guided to for this year.
Sean Kealy: Sean Kealy from Panmure Liberum. A couple from me, if I can. So first of all, you've had advertising, you've had data, you've now got digital retailing. Is there sort of a fourth area on the horizon? Or should we be thinking about you guys going just deeper within these existing sort of areas? And I guess what I'm getting at here is, particularly, can you do more with non-dealer customers? And if you can, have do you navigate some of the sort of conflicts of interest that might exist with dealer customers in those areas as well? Secondly, I just want to pick up from what you said -- when you were talking about the M&A line there, Jamie. That VIN data that you have gained access to as part of -- by dropping some of the -- sacrificing some of those platform revenues, is that the data which is allowing you to do your own vehicle checks? And do you own this now? Is it something that you need to maintain a feed from the OEMs? Or how does that work in a little bit more detail, if that's okay? Then two more as well, if I can, sorry. Can you give us an idea of where retailer gross margins are relative to history? I've usually thought of it in the sort of an 8% to 12% range and maybe from -- just to guess really, we're probably towards the lower end of that at the moment. What do you think is going on there? And then just finally on Autorama. Now that new private sales are in growth, it's no longer just going into the fleet channel. Are you starting to think about maybe taking some of those transactions off balance sheet and work on a purely commission basis as well?
Nathan Coe: Firstly, Catherine can take the margin, and I'll take Autorama.
Catherine Faiers: Sure.
Nathan Coe: So it's kind of two questions within your very first question. So you have got to a new record on a number of questions. But the -- so just to be really clear, the products that we're having folded Deal Builder, digital retailing into what we do in the core because we think it's a better way of monetizing, a better way of getting adoption. We're left with like four clear streams of product development, any one of which, to be honest, we feel like you could have confidence that you'd be able to do a good few years of events. We used to just do advertising products, so we never had any of these other areas. The four areas are -- one is advertising, one is Co-Driver and AI. One is the data products that help kind of the data-driven retailing that Catherine talked about. And now you've got digital retailing. And digital retailing is a bit of a funny one in a way because, as Catherine said, there's a number of ways to iterate that product, but a bit unlike i-Control. It's not switch on and all the values there. Over time, we can continue to add more and more people doing more and more deals, which saves more and more money in retailers. So it will kind of accumulate value as time goes on. So that feels pretty good, and there's plenty to do in there. We've got more ideas than we do people to do them, and retailers haven't necessarily got the ability to absorb those all at once. The second bit of that question is, well, what about non-retailer customers? That is something that we think about quite a lot. It's also something that we explore. So Autorama is one of those examples. We've talked a little bit around that. We are working -- OEMs are kind of -- we're ever going to stray too far from our core because we tend to find that returns on capital and success, so both seem to diminish the further you wade from your core, so we are pretty core focused people, but manufacturers are really obvious one where there is a lot of them are becoming -- starting to sell more direct than they used to and starting to definitely focus a lot more on sales as opposed to brand marketing, and we're quite good for those areas. I wouldn't say we've got the silver bullet on that, yes. Jamie kind of alluded to it. But we have got quite a few bets in there. We've got new car stock on the platform, which is doing very well with retailers. We've got new car stock with OEMs that we're still a little bit -- don't feel like we've got it quite right, and we've got leasing deals through Autorama. So we're trying to be focused on the areas outside of retailer, and they are the main areas. I think as Catherine mentioned, it's obviously a topical conversation, but automotive finance is big. The commission pool there would be as big as what our core used car advertising market is. So it's another obvious one where it feels like we can play some productive role in helping solve some of the issues the regulators seeing. But it's fair to say unlocking the integration with lenders is not -- it's not the fastest of things to do. On the data, it's not as linked -- the VIN data is less linked to our vehicle check, although it's kind of linked in there. It allows us to get the exact specification on the vehicle. It actually goes much, much deeper than that. What the VIN data allows us to do is drive our search much better than any other person can drive their search, and that includes valuations as well because we know exactly what was on the car when it was built. Now we don't own that data. That data is very much owned by the OEM, but it's not that easy to get at the data because OEMs are reasonably protective about that. They do it with us because they see a direct influence on residual values and all those sorts of things that matter. They don't want spec misdescribed by all their retailers. So kind of the process of it and building it into our taxonomy, that taxonomy is proprietary. It is just one of many things that we draw into it.
Jamie Warner: Sorry, just two things I'd just add to Nathan's answer. Just on the finance, it still is very much working with retailer customers trying to help them sell their own finance, which is the current Deal Builder execution. So that -- you asked about the kind of tension point. We want to make it a seamless online experience on Auto Trader that leverages a really good forecourt experience because the role that they would have been doing at the forecourt has been better done online, just to clarify that.
Catherine Faiers: On retailers, and I think you asked specifically around gross margin rather than net margin question. I think there's been a few cyclical reasons over the last six to 12 months why gross margins have probably been at the softer end of the spectrum in recent years. The first one that we touched on in the presentation was the gap between retail and trade margins. And we have seen a period over the recent months where that gap has narrowed slightly as we've seen trade prices stabilize and appreciate slightly more strongly than we have on the retail side. Retailers have still been focusing on pushing that speed of sale because of holding costs, supply side and other pressures. It does mean that we've seen a slight narrowing. Now that is -- that typically, there are fluctuations in that over time, and we've seen windows where it's traded back and been very strong. We're expecting that to be a relatively short-term structural pressure, like trade and retail to typically trend back in line with each other. The other two smaller trends that have been having an impact, was finance commission rates or levels haven't reset post the 25th of October last year when we saw the outcome of the court cases. We have seen a slight dip in finance penetration on used cars. Typically, we think it's been more driven by movements in APRs and the changes we've seen in interest rates over the couple -- last couple of years rather than anything structural. Finance penetration rates have actually been trending up again very slightly in the last few months, but that over the last 12 months or so have been overall used car finance penetration has been a bit softer because of interest rates. So that will have impacted gross margins. And then finally, around ancillary revenue streams. Some of the FCA rulings around gap insurance and some of those other products. Some of those for some cohorts, some segments of our customer base were more important revenue lines have either compressed or some have disappeared. So those three, pricing being the main one, but the other two have definitely had an impact as well.
Jamie Warner: And then lastly, just on the balance sheet. So the balance sheet has always historically been predominantly banned. And obviously, I think where we believe the growth will come from is more in car leveraging the Auto Trader platform. So I think -- I'm not saying that we're not doing any of the balance sheet, but I just think it should be a lower share and there should be less reliance on it. And there's still the long-term plan that eventually, we want to discontinue it altogether because it's not sort of core part of our business proposition.
Alastair Reid: Alastair Reid from Investec. Maybe I'll balance it out and just ask one. You mentioned a couple of areas. I think you sort of mentioned with the VIN data that's sort of helping. You have better search than others. I think you mentioned about Deal Builder being available to everyone in all sort of vehicles. That helped differentiate you sort of further. Do you see any sort of changing competitive threats or dynamics in the market that are making you think about that and do things to sort of reinforce your position?
Catherine Faiers: I think the competitive landscape, the -- from our, I guess, what we would call our marketplace peers, I don't think we've seen any real change, certainly not in our relative position or in any of the actions that they've taken that would make us do anything different when we think about the bigger -- some of the bigger structural trends, whether that's what Google might do with their vehicle listing products or Amazon in the U.S. or where some of the generative AI apps and things might take it. I think we always come back to the foundations that we have in the areas of differentiation, and they are all around our brands and our relationship with consumers and how we are investing, maintaining, deepening our relationships with consumers, and they come down to our technology and data. And the foundations of our marketplace having more buyers, having more retailers on the other side means that we just see millions more observations than anyone else will see. And the more we can keep those foundations really, really strong, the more data observations we get, which means our -- whether it's our data products that we serve up through Auto Trader Connect and portal or whether it's our AI-powered products, they will become more powerful. The depth with which we've gone to within our vertical combined with our brand is how most people still find us discover it. Those two areas of strategic advantage, I think, mean regardless of what happens to how and where consumers navigate themselves into the buying journey, we will have a really important role to play. So I think it's more -- we feel even more that we should double down on the areas that make us really different. There's no one threat or no one competitor that we sit there and think we should be worrying about them more or focusing on something different as a result.
Nathan Coe: The only thing I might add quickly and kind of it might be self-evident, but some of the areas, certainly within our traditional marketplace competitors, that's true. We do get the question occasionally from investors around what about ChatGPT, what about AI, what about Amazon. And actually, the best answer to any player that is looking to globally scale but at a relatively shallow level is to go super deep in your own vertical with data, so you can always provide that much, much richer experience. And as it relates to AI, it is all about the data that Catherine spoke about. So I think it's true of traditional competitors, but also some of the bigger questions that we get around how some of these technologies evolve. We're very much adopting those technologies, but doing that with really, really deep data that just is very, very hard to get. As Catherine said, the vast majority of it is proprietary.
Lara Simpson: It's Lara Simpson from JPMorgan. I just wanted to come back mostly to the outlook and the guidance. So stock lever is going to be marginally down, but you have said you'd expect to sort of pick that up with prominence packages. I just wanted to really understand that dynamic. I suppose my thinking has been with speed of sale quite high, there was maybe less of a need for prominence or pay-up from a dealer perspective. So just to try and understand that dynamic this year and how to think about it. And then, again, in terms of the retailer outlook, you've guided for flat this year, which I think is encouraging. Is there any assumption on mix effect on the ARPR this year? And then going forward, the narrative used to be that you were guiding for that forecourt number to be down in years to come because of consolidation closures. Obviously, we have a lot more dealers post pandemic. Has that changed in terms of sort of the top line algorithm in years to come? Is it more sort of flat retailer numbers now, similar change on ARPR, just to talk through those dynamics?
Jamie Warner: Yes. So I can cover all of those off. I mean, I think -- I mean, the stock and prominence, like we're sort of saying it's likely to be a small negative on stock and a small positive on prominence. They're not actually directly related. It's more just the quantum being relatively similar. I think you are absolutely right that, and we've seen this through the last financial year that when speed of sale is fast, there isn't as much need for prominence products. But along the lines of doing -- being a bit more proactive around stock, we're also being a bit more proactive around prominence because we do still believe that prominence products can still drive better margin improvement, even when speed of sale is fast. So there is value in the product set, regardless of the market dynamics, probably quite customer specific. So that's why it's only sort of steered to be at the smaller end of contribution where, historically, it's always sort of been maybe a 1% to 2% contributor to that product lever. But hopefully, again, to Will's question around progress through the year, we're exiting in a better position even if speed of sale remains relatively fast. And then the retailer guide is flat for this year is really dictated by what we're seeing right now. The retailer number is very stable. We've gone through the pricing events at very low levels of elasticity. Customer numbers feel good, certainly by historic standards. The mix, I don't foresee radically changing through the year. You never quite know, but I think the steer with the guide is flat and consistent. I think long term, sort of notoriously got this wrong. I think I would still say that the market, I would expect it at a very slow rate, consolidate if you're looking over a five- and 10-year period, it certainly was prior to the pandemic. So I think if you're modeling out '27, '28, '29, I wouldn't have loads of retailer decline, but 0.5% is probably what would be my best estimate, acknowledging I'm often wrong.
Ciaran Donnelly: It's Ciaran Donnelly from Berenberg. Three from me. First one, I guess, just clearly, the Deal Builder monetization approach is changing. But I guess, just going back to the Investor Day a few years back, can you clarify that you think the absolute revenue opportunity hasn't changed? Two, I guess, if we look at user experience and user journey on site on probably a three- to five-year view, how dramatically different do you think it will be versus today, i.e., will every, I guess, advert automatically default to a Deal Builder-type user journey? Or will we still have the, let's say, traditional approach we have today? And thirdly, I guess, just in terms of stock continuing to be a headwind. Clearly, turnover is quite quick at the moment. But how much of it do you think is your average retailers becoming more efficient at determining how many slots they need? Obviously, using products like your own data inventory products, in fact, is there less fat in terms of what slots are required going forward as dealers become more efficient.
Nathan Coe: I can take this one, yes. So I mean, it's an impossible question in some ways because it's all about forecasting and who actually knows. But if you take the real fundamentals of your question, what we talked about is we felt as though we could increase the take rate essentially on cars that go through Deal Builder because it would save time, be more efficient for retailers. I mean that was basically then multiplied by some penetration rate -- well, multiplied by the number of retailers on the product times the number of the percentage of their transactions that go through Auto Trader. We're going to make that faster, much, much quicker than what we would have otherwise done it. So it's done. So we're going to have most of our retailers. The percentage of their transactions, I imagine, will probably hover around where it is. It does depend on how light the Deal Builder product that we launch is and how we define a deal. But for all intents and purposes, let's say that doesn't really change, over time, we can grow that. What's different, obviously, is the multiplying by we talked about the 120 or the direct uptick. It was quite a neat way of being able to calculate those economics. The reality is they will need to surface through two things. One might be through future events because we will just be adding a lot more value. It's not just talking about audience increasing. We'll be talking about deals increasing. And then as Catherine mentioned, it is just a base product that we're talking about. So things like finance, part exchange, there are lots of opportunities within that, that might provide opportunities for further event products within that digital retailing stream. They may even have some stand-alone element to them. And to answer your question really directly, I have no reason to believe that the monetization opportunity is any different at all. But the way that we have to go about it, all the way that we're choosing to go about it will be different. If anything, the near-term answer to your question is the monetization is bigger than what we originally were planning for.
Catherine Faiers: In terms of the user experience on Auto Trader and how the car buying journey feels for consumers, I think the two biggest changes in consumer experience over the coming years will firstly be around our search experience and how we make search more intelligent. Back to the data question, clearly, our ability to add filters, enable consumers and help them refine their search in quite a structured way today is very powerful because of all the data we have. In the future, there's lots more we can do to make the search experience much more intelligent for consumers. So when we see you interacting with Auto Trader, we can get much smarter in how we then serve you other vehicles, other content. You've sent us some signals about what you're interested in, what you want to do. And so we think how we navigate consumers through the vast choice that we have on Auto Trader, we can make it more powerful. And that's a big strand of our search evolution work and making search more intelligent for buyers. Second big part around Deal Builder is really all about how we better connect buyers and sellers in the journey. So today, we deliver 15 million-odd leads a year. And now increasingly, we're delivering more and more of those leads as highly qualified deals that we know convert much, much better for retailers, save them time to get them out of hours. There's all sorts of reasons why a retailer would much rather have a deal than a lead. Today, still, of the leads that we deliver, they still typically only account for about 1/3 of the sales that we influence as Auto Trader because many consumers will walk in to the retailer forecourt, having spent minutes, hours on Auto Trader finding their car. So a lot of what we think we can do through what we know about the buyer and the behavior is better connect earlier in the journey. The buyer with the retailer to help them get to a point where they're having more efficient online and more efficient off-line interactions to connect the journey more powerfully. So the product page and the experience that a consumer is having on Auto Trader will evolve quite significantly in the coming years, firstly, to meet that baseline Deal Builder journey so that, that is the buying journey on Auto Trader and then in time to build in, whether it's appointments, whether it's more of the insight that we know about the buyer or about the retailer into the journey as well. So both intelligent search and how we navigate search and then a more connected buying journey through the product page, I think there'll be lots of evolution there in the coming years.
Jamie Warner: And the last one, just on the stock headwind. I think it's a great question. I do think there will be -- there's definitely some work in the customer base of the products that we've made available is naturally helping our customers sell cars quicker. And obviously, you've got higher finance costs that also incentivize them to do so. But I think it is like a contributor. I still think the market is a big part of it. And I only say that through when you triangulate kind of demand with pricing, with speed of sale. I mean they all sort of move in a direction that you would -- you can understand why it's accelerated. If demand has really softened and speed of sale was still quick, I'd say, I would lean more on that fact and the kind of efficiency, but that the three things kind of triangulate. I'm sure what you say there is something in it, but I still think there's a big chunk of the market in there as well.
Jessica Pok: Jessica Pok from Peel Hunt. Hopefully, two quick ones. The first is with Deal Builder going into the core packages. Are you putting some marketing -- incremental marketing behind that? And the second one is just on the AI functionality you've rolled out so far has been into the core packages. Is there potential for additional products to be built with -- around AI, which you could charge separately in the future?
Catherine Faiers: Do you want me to take this?
Nathan Coe: Go ahead.
Catherine Faiers: So on marketing, I don't think we'll spend -- I don't think we'll look to increase the relative share of marketing spend as a percentage of revenue. But I think we will increasingly look to make the Deal Builder journey more prominent on the platform. To be honest, the biggest marketing lever we have is the 10 million, 11 million unique users we get each month navigating, finding their way to mostly our app these days. So how we choose to use that app [really states] to help consumers navigate through the Deal Builder journey is probably the most powerful marketing we can do. That said, we may well supplement increment with some more traditional marketing investment around that, but we don't expect that to be on top of our typical marketing budget that we allocate. In terms of AI and product evolution and whether there might be products we monetize stand-alone, I think back to the product conversation, we talked about four different areas where we have product streams, if you like, that we're running with and where we're bringing an evolving products to market. I think within those four streams across advertising, data, Auto Trader Connect, AI, Co-Driver and then Deal Builder, there are components within each that we could look to think about targeting a particular segment of the customer base. And whether it's a trial or proof of concept or whether it's actually monetizing early to really validate the value proposition to prove that we can scale the product, that's definitely something we've done in the past and is definitely something we'll look to do again in the future, where we feel like the product that we're trying to bring to market would benefit from that extra layer of either validation or testing or proof of the value proposition.
Nathan Coe: Okay. Well, thank you, everyone. That brings us to the end of the presentation, and thank you for all those that joined us online as well.